Operator: Ladies and gentlemen, thank you for standing by, and welcome to the QuintilesIMS First Quarter 2017 Earnings Conference Call. During the presentation, all participants will be in listen-only mode. As a reminder, this conference is being recorded today, Wednesday, May 3, 2017. And I would now like to turn the conference over to Andrew Markwick, Vice President, Investor Relations. Please go ahead.
Andrew Markwick - Quintiles IMS Holdings, Inc.: Thank you, Amanda. Good morning, everyone. Thank you for joining our first quarter 2017 earnings call. With me today are Ari Bousbib, Chairman and Chief Executive Officer, and Michael McDonnell, Execution Vice President and Chief Financial Officer. Today, we will be referencing a presentation that will be visible during this call for those of you on our webcast. This presentation will also be available following – after this call on the Events & Presentations section of our QuintilesIMS Investor Relations website at ir.quintilesims.com. Before we begin, I would like to caution listeners that certain information discussed by management during this conference call will include forward-looking statements. Actual results could differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with the company's business, which are discussed in the company's filings with the Securities and Exchange Commission, including our annual report on Form 10-K filed on February 16, 2017 and subsequent SEC filings. In addition, we will discuss certain non-GAAP financial measures on this call, which should be considered a supplement to, and not a substitute for, financial measures prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the comparable GAAP measures is included in the press release and conference call presentation. I would like to also point out that as with other global businesses, we have been impacted by year-over-year foreign exchange fluctuations. I would now like to turn the call over to our Chairman and CEO, Ari Bousbib.
Ari Bousbib - Quintiles IMS Holdings, Inc.: Well, thank you, Andrew, and good morning, everyone. Thank you for joining our first quarter 2017 earnings call. Out of the gate, we had a strong start to 2017. We are pleased Q1 results came in, in line or better than what we told you to expect. Let's have a quick review of the numbers. Consistent with last quarter, we're making comparisons more meaningful by discussing results on a combined company basis, as if the merger had taken place January 1, 2016. First quarter revenue was just over $1.9 billion and grew 3.1% at constant currency. R&D Solutions growth was 4.3% at constant currency, and R&D Solutions revenue was negatively impacted by our early clinical development business, where we closed the facility in London last year. Excluding this early clinical development business, revenue growth would have been about 5.5%. Commercial Solutions grew 2.5%, 2.4% to be precise at constant currency. Growth in Commercial Solutions was negatively impacted by the poor performance of the legacy Quintile Encore business, which itself declined more than 50% year-over-year. Excluding Encore, the Commercial business would have grown 4%. Integrated Engagement Services as expected was slightly down. Acquisitions contributed 1 point of revenue growth and that was evenly split between R&D and Commercial Solutions. Adjusted EBITDA was $467 million, which is higher than our guidance range and about $10 million above the midpoint of the range. This bit was entirely driven by stronger operating performance. Let me provide some color on a few key wins in the quarter. Let's start with the real-world insights business. The real-world team won a $15 million deal for two neurology studies with the top five pharma clients. Our global data, advanced analytics and deep therapeutic expertise in neurology set us apart from the competition. The clients saw a huge benefit in using retrospective data to accelerate sight identification, patient recruitment for these prospective studies in both the U.S. and Europe. Another top five pharma clients signed a $12.5 million real-world deal based on our unique capability to link diagnostic data, prescription data and demographic data to support a Phase IV interventional diabetes study. Turning to our R&D Solutions business, we saw continued improvement in our as-contracted booking strength. At the end of the quarter, we had a contracted backlog of more than $9.6 billion. I have never done this, but I'm going to go off script, guys, over here. I was just reading before the call started a few of the initial notes that some of the analysts wrote, and I still see that people are still trying to calculate quarterly book-to-bill numbers even though we tried to tell you before that it is not a meaningful indicator of how we are doing. But because those calculations are all over the place, I just want to tell you that if you do the math – and really it is three elementary computations based on the numbers we reported. If you do the math, it is just below your magic number of 1.2x book-to-bill, again on a contracted basis for the quarter. We've said over and over, we're not going to do it, but I can't help myself. It is actually an improving booking trend that we have observed over the quarter. And again, I'm departing from script, if you were to do the same math on an awarded basis and we don't have the numbers, because we don't report award anymore, we report contracts. On an award basis that a book-to-bill ratio for the quarter would have been materially higher than that quote, unquote, magic number of 1.2x. Now, back to the screen, I know people are screaming at me here, but I couldn't help myself. We are actually very encouraged by the early demand we are seeing for our Next-Gen clinical development offerings. Last quarter, I told you we had one over $100 million of business with Next-Gen, since the merger closed. We now stand at more than $400 million of awards, not all of which has contracted, tied directly to the application of Next-Gen of clinical development within clinical trials. The pipe keeps strengthening and our team is currently engaging more than 80 Next-Gen projects. Recent example of such wins include, for a large pharma client, we competed against 14 other CROs, and we're selected for a preferred partnership based on our unique ability to improve study design, site ID, and patient recruitment globally. The clients cited specifically our Next-Gen offering as a clear differentiator. We had another very significant win with the top five pharma clients, European pharma clients, who had awarded virtually no full service clinical business to us over the past six years. This was a fixed price award for more than $120 million. In landing this win, a key differentiator was our ability to quickly validate internal historic site performance data with real-world insights. The study has now kicked off and from the get-go, we were able to demonstrate higher operational performance. The time from contract to first site selection visit was less than 30 days, an unusually rapid pace, and we are expecting to accelerate the clients plan timeline for last patient in by three months. On the commercial side, I'd like to highlight a very important alliance we announced with Salesforce.com. This deal will enable us to build solutions on a global technology platform that is best in class and that will help our clients take their products to market more efficiently and more effectively. This will eventually encompass the entire cycle from driving patient recruitment to managing client's clinical trials to taking drugs to market more effectively with agile multi-channel applications all built on a single platform. The initial focus of this alliance will be on multi-channel stakeholder engagements. We will leverage Salesforce's Marketing Cloud and Force.com to enhance our existing capabilities in CRM and multi-channel marketing. With that, let me turn it over to Mike McDonnell, our Chief Financial Officer, to take you through the financials in more detail.
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Thank you, Ari. And good morning, everyone. Q1 was another strong quarter for QuintilesIMS. Let's review the details. I would like to call your attention to the more meaningful combined company comparisons in the center of the page. First quarter revenue was just over $1.9 billion, an increase of 2.8% at constant currency and 1.6% reported on a combined company basis. You will recall the deferred revenue adjustment we highlighted on our last call. As a reminder, this non-cash adjustment is the result of purchase accounting rules, which at the time of the merger requires the elimination of IMS Health deferred revenue, which would have converted to revenue in the first quarter. Adjusting for deferred revenue and on a combined company basis, first quarter revenue grew 3.1% at constant currency and 2% reported. R&D Solutions service revenue grew 4.3% at constant currency and 3% at actual FX rates. As Ari mentioned, when adjusting for the early clinical development business, where we closed the facility in London last year, R&D growth at constant currency was 5.5%. On a combined company basis, Commercial Solutions revenue grew 2.4% at constant currency and 1.3% reported. The Commercial Solutions growth rate was again impacted by a significant decline in the legacy Quintiles Encore business. Excluding, Encore, constant currency Commercial Solutions growth was 4%. Integrated Engagement Services revenue declined 0.2% at constant FX and 0.9% reported. Turning now to profit. First quarter adjusted EBITDA was $467 million. As Ari mentioned earlier, our adjusted EBITDA performance was better than the guidance we provided last quarter due to strong operating performance. GAAP net income was $74 million and GAAP diluted earnings per share was $0.31. Adjusted net income was $238 million. You will recall that our adjusted net income is calculated using an adjusted book tax rate, which was about 29% in the first quarter. You should note that our cash tax rate is much lower, and in the first quarter was approximately 10%. Adjusted diluted earnings per share was $1.01 in the first quarter. The $1.3 billion of shares that we repurchased during the quarter had no impact to first quarter adjusted diluted EPS. A strong EPS performance was primarily a result of the operational performance I just mentioned along with slightly more than a $0.01 benefit from tax. Turning to R&D Solutions, net new business and backlog. As you will recall from the previous two quarters, our new business and backlog metrics are now reported on an as contracted LTM basis. For the 12 months ended March 31, 2017, R&D Solutions as-contracted bookings were $4.08 billion, resulting in an ending contracted backlog of $9.66 billion. We expect to convert approximately $2.9 billion of this backlog into revenue over the next 12 months. Now, as Ari mentioned, contracted bookings have continued to improve and we are very pleased with this trend. I do want to also remind you that this is a long cycle business as Ari mentioned and quarterly bookings can ebb and flow, this is why you should focus on overall backlog and LTM metrics rather than the book-to-bill on a given quarter. Let's spend a few minutes on the balance sheet. At March 31, cash and cash equivalents totaled $862 million and debt was about $8.4 billion, resulting in net debt of about $7.5 billion. Our gross leverage ratio was 4.3 times trailing 12-month adjusted EBITDA and net of cash, our leverage ratio was 3.8 times. Cash flow from operating activities was $56 million in the first quarter. Capital expenditures were $78 million, and free cash flow was negative $22 million. As is usual during the first quarter, our free cash flow was impacted by annual incentive payments to employees. Additionally, both operating and free cash flow were impacted by cash outflows in our loyalty program businesses. These Commercial Solutions businesses managed co-pay reimbursements on behalf of our pharma customers. Our customers prefund these reimbursements, and we include this cash on our balance sheet. We've drawn this cash to pay pharmacies, as consumers use the programs. The inflows and outflows should even out over time, but in any given quarter can cause meaningful fluctuations in reported cash flow. You saw that we issued €1.425 billion of senior notes due in 2025. We also refinanced our term B debt and extended its maturity to 2024. During the quarter, we repurchased $750 million worth of shares from two of our private equity sponsors and the legacy Quintiles founder. In addition, we repurchased $550 million of shares in the open market for total share repurchases of $1.3 billion. As I mentioned earlier, this did not have any impact to adjusted diluted EPS for the first quarter. We now have $231 million remaining in our share repurchase authorization. Let's now turn to guidance. We are reaffirming our full year 2017 revenue and adjusted EBITDA guidance and raising our full year adjusted diluted EPS guidance. Assuming currency rates remain at current levels for the rest of the year, we expect total revenue of $8 billion to $8.1 billion and adjusted EBITDA of $2 billion to $2.1 billion. Now, this guidance is exactly the same as last quarter, nothing has changed. However, we did buy back $1.3 billion of our stock. We had originally planned on completing $500 million, so the additional $800 million was not in our original guidance. The additional $800 million of repurchases provides a benefit to full year adjusted diluted EPS. Separately, we also took on additional debt that increases our interest expense and has a negative impact on full year adjusted diluted EPS. The net of these two items has a net benefit to full year adjusted diluted EPS of $0.04. As a result, we feel comfortable raising our EPS guidance by $0.05. We now expect adjusted diluted EPS to be between $4.45 and $4.60. For our tax rates, we expect adjusted book tax rate to be approximately 30% for the year and adjusted cash tax rate to be approximately 16%. Now, remember the timing of tax payments can be lumpy, so you may see the cash tax rate vary by a few percentage points in any given quarter. As always, we would like to tell you what we see for the second quarter of 2017. At this point, assuming today's FX rates remain constant through the end of the quarter, we expect revenue to be between $1.93 billion and $1.97 billion, adjusted EBITDA to be between $470 million and $490 million, and adjusted diluted EPS to be between $1.02 and $1.07. In summary, we had another solid quarter. We delivered strong operational and financial performance. Our Next-Gen clinical development offering continues to see success in the market. We had encouraging wins with our combined real-world insights offering. We had steady performance in our Commercial Solutions business. We are enhancing our existing capabilities in CRM and multi-channel marketing and announced an alliance with Salesforce.com. We closed the bond offering for €1.425 billion and extended our term loan B maturity until 2024. We repurchased a total of $1.3 billion of our stock, and we reaffirmed revenue and adjusted EBITDA guidance and raised full year adjusted EPS guidance by $0.05. With that, I would like to ask the operator to please open the lines for Q&A.
Operator: Thank you. And our first question comes from the line of Tim Evans with Wells Fargo Securities. Your line is open. Please go ahead, sir.
Tim C. Evans - Wells Fargo Securities LLC: Thank you. Mike, a quick question on the Commercial Solutions growth rate. I think you called out 4% constant currency, excluding Encore business. Did you have any contribution there from acquired businesses in the quarter? And I guess the same question also in the R&D Solutions.
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Yeah. Overall, the contribution from acquisitions was about 1%, and that's consistent across both Commercial and R&D Solutions in total company.
Tim C. Evans - Wells Fargo Securities LLC: Okay. Great. And then the other one is on the pacing of your guidance, recognizing that the full year guidance really didn't fundamentally change much, did the pacing through the year change relative to your initial expectations? I think certainly the Street had over modeled the Q2 a little bit, but did anything change relative to your own initial expectations?
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: No. No change. We expected – last quarter continue to expect the same cyclicality that we talked about, heavier in the backend of the year and very consistent with how we've seen it all along.
Tim C. Evans - Wells Fargo Securities LLC: Okay. Thank you.
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Thanks, Tim.
Operator: And our next question comes from the line of Robert Jones with Goldman Sachs. Your line is open. Please go ahead.
Robert Patrick Jones - Goldman Sachs & Co.: Great. Thanks for the questions. And Ari, I appreciate the additional details on the quarterly booking trends. I know you guys are trying to get away from that metric. But I guess just trying to float a few things on our end, I know the bookings for the 12 months ended March did see a sequential downtick from the 12 months ended December, and not knowing the quarterly bookings, I'm sure there could be some noise in there. And yeah, you did highlight that the backlog grew quite nicely, sequentially in the quarter. So, maybe could you just talk about what you saw on a gross wins perspective and maybe a cancel's perspective in the quarter, just so we can understand a little bit better...
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah. I mean...
Robert Patrick Jones - Goldman Sachs & Co.: ...what is driving the backlog growth?
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah. Again, we've tried to guide you away from this quarterly metric, because it really – I mean I could go on and on giving you examples that would show why you could derive the wrong conclusions from a number in a given quarter. The reason to address the first part of your commentary and question, the reason why the LTM is lower at the end of March than it was at the end of December is, because first Q 2016 dropped out of the LTM and happens to be that first Q 2016 was a very high number on a contracted basis. And so therefore, when you take it out of the 12 months, it's lower than the LTM at the end of December. Now, if you recall, that's going to really demonstrate why it's wrong to focus on the quarter and it's also wrong to focus on awarded and it's better to do it the way we suggest we do it now. And I just told you the number on a contracted basis for the first quarter last year was very high. And yet, the reported quarterly book-to-bill number last year when Quintiles was still a standalone company was on an awarded basis and was 0.95x, was under 1x, whereas the contracted number was materially over 1x. And the reason why it was materially over 1x is because – again because they manage the business based on quarterly awards. They could be contracting in the first quarter of 2016, stuff that has been awarded the year before because nobody was focusing on it. What we're trying to do here is compress the timeline between award and contract, only count that which is contracted for, change operationally internally so we can compensate Salesforce, et cetera, based on contracted work not just it is awarded to you and smooth the level of cancellations and things we have to take out of the backlog because they were never meant to be in, in the first place. So, again, I'm sorry for giving you the commentary, but that is the explanation for the LTM. With respect to the trend, our bookings are actually greater. It is a simple computation as I mentioned in my introductory remarks. You just do a subtraction of what the reported backlog is at the end of each quarter. You add that to the revenue reported in the quarter, that's an addition because that's the revenue was converted from the beginning of period backlog and you divide by the revenue. And if you do that, you'll see that you don't have the exact precise numbers, because last quarter we said it was about 9.5%, was slightly under that, but basically you went with a contracted book-to-bill for the quarter of just under 1.2x. Now again, don't focus on it, it could have been 1.1x or 1.3x, let's not – we have LTM of 1.16x which we feel is very good, and the trends will continue to improve based on the pipeline that we see and the awards that we generated in the quarter.
Robert Patrick Jones - Goldman Sachs & Co.: Got it. That's actually usually helpful, and I think that based on that explanation, the LTM number is kind of useless then – it's really more the backlog number that everyone should be focused on...
Ari Bousbib - Quintiles IMS Holdings, Inc.: Exactly.
Robert Patrick Jones - Goldman Sachs & Co.: ...based on that explanation.
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah.
Robert Patrick Jones - Goldman Sachs & Co.: And I guess just a follow-up, Ari, move over to something more strategic. The 1Q awards from the Next-Gen clinical offering, you mentioned was about $400 million. I was wondering if you could share anymore details around, maybe what types of clients or trials those were. Were these new clients to Quintiles, or people that had done some work with Quintiles in the past? Just trying to understand how you're making progress on the Next-Gen clinical side?
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yes. Several cases of new clients or – again, nobody is new with Quintiles we've done business with everybody in the world. But I mentioned I particularly highlighted the largest such award, because it kind of indicates to you what we're trying to do to change the model. This was with the top five European clients with whom frankly we hadn't done very much. I think the biggest award of the full clinical service was like in the $10 million range, again over the past six years, which we've looked at. We've done other work for these clients in other areas or specific work data or stats or CSO work, but not full service core clinical work. So this is the first time, and this is a very, very significant client, with whom our penetration on core clinical was very low to steadily (26:07). And that – so that's, I think, clear indication that there is something different. And the main reason we've been able to do that is that, we've demonstrated a new approach and new capabilities, which actually as I reported in my introductory comments, we already demonstrated, a product is already ongoing. It took 30 days from the signature of the contract to the first sight identity, which is really very, very small period, and we've been able to demonstrate that to the client. Another element that's unique about it is that we were so confident and we had a good view of risk and we were able and willing to go with a fixed price model. Again, that's something that's new and different, and that's enabled by Next-Gen. That's a powerful example that I mentioned because it's large, but there are many others, smaller size. This particular one is contracted for, and as I said, we are working on it already. But in aggregate, since the merger, we've been awarded over $400 million, which we know having won directly because of Next-Gen. I would also point out that in a few instances, we actually were able to go back and win stuff that has been awarded to somebody else, and go back with a different approach using Next-Gen.
Robert Patrick Jones - Goldman Sachs & Co.: Yeah. Thanks for all the comments.
Ari Bousbib - Quintiles IMS Holdings, Inc.: My pleasure.
Operator: And our next question comes from the Dave Windley with Jefferies. Your line is open. Please go ahead.
David Howard Windley - Jefferies LLC: Hi. Thank you. Thanks for taking the questions. Ari, good morning. So I appreciate the answer there to Bob's question on the backlog or bookings roll-forward and understand your point about kind of focusing on awards before and bringing contracts to signature kind of not been a focus. If we do take a six-month view, your roll-forward is down from $4.4 billion to $4.08 billion. I mean, are we still able to say the same thing that you're seeing momentum even though it's down, say, $320 million over a six-month period?
Ari Bousbib - Quintiles IMS Holdings, Inc.: I'm not sure, I've followed your question. And I'm...
David Howard Windley - Jefferies LLC: I guess what I'm saying is, if the lag from award to book – award to contract signature is three months or six months, the dynamic where we're seeing...
Ari Bousbib - Quintiles IMS Holdings, Inc.: Over a year or a year and a half.
David Howard Windley - Jefferies LLC: Is this that long? Well, if it's that long then maybe it's a moot point. But...
Ari Bousbib - Quintiles IMS Holdings, Inc.: Right.
David Howard Windley - Jefferies LLC: ...I guess we're seeing this tick-down of your trailing 12-month bookings number happened, not just one quarter, but two quarters in a row. And I'm wondering if the kind of all the contract signatures landing in the first quarter of last year, making it a big quarter
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah. I think...
David Howard Windley - Jefferies LLC: If that influenced both of the quarters.
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah, I think the number you're looking at is simply – again, the first quarter of 2016 was a huge, huge contract – on a contracted basis, a huge number. For whatever reason, a lot of it was of the prior, I don't know year and a half, four to six quarters. So going back to 2014 and 2015, they were signed and contracted for in the first quarter of 2016. Now, nobody was tracking contracted book-to-bill or contracted backlog in the way you're paying attention to it. Happens to be it's a huge number. And so when you pick it out of any LTM, you are going to have – by definition, okay, because it's going to bias the numbers. It's going to look like it's going down. But the amount of bookings that we are contracting quarter-after-quarter, over the past three quarters has been on a steady uptick.
David Howard Windley - Jefferies LLC: Okay. I'll leave that alone. So, as I think forward getting to kind of Tim's question about the cadence of the year, your uptick, I guess your trajectory as you move into the second half of 2017 starts to steepen, how do we think about a forward 12 months coverage number of like $2.9 billion, relatively constant as the forward forecast needs to accelerate? How do you fill in the remainder?
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Yeah. I would say a couple of things. It's Mike speaking, Dave. I think as Next-Gen really starts to take hold as we've said before we're confident in our ability to start to accelerate the burn a bit. It is fair that the $2.9 billion has been constant. We'll look to grow that over time. And I guess I would just point to the size of the backlog and the fact that when you look at the revenue guidance, you've got 79% or so, that's in your contracted backlog. And so, when you look at the piece that you need to fill in, it's a great visibility business and it's a very manageable amount to actually fill in and we've got good success doing it for a long time.
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah. I mean just – look these are fair observations. With respect to the second quarter, it looks a little lumpy and not linear as perhaps had been modeled by the Street. I think the main reasons if you really want to focus on the second quarter, we have to speak about the first quarter, but first there is an FX impact, okay. Currency hasn't really changed much, since we last provided guidance, it's basically no impact. I mean we lost over a point of growth in the first quarter due to FX year-over-year, but not since we last gave guidance. So FX from the last year's second quarter has an impact. Secondly, there is the IES segment which is very lumpy. Q2 last year for IES, I think it was disclosed – I'm just looking at my colleagues here, it was disclosed last year. There was a one-time benefit of – if I recall, it was almost $10 million, it was a one-time royalty payment that was in IES, I think...
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Correct.
Ari Bousbib - Quintiles IMS Holdings, Inc.: ...last year second quarter, is that correct?
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Yes.
Ari Bousbib - Quintiles IMS Holdings, Inc.: And so, that again affects the compares year-over-year for the second quarter. Third, this Encore business which I remember when it was purchased a couple of years ago was like about $100 million of revenue and I mean the business is – we are trying to do something about it, but it is expected to continue to provide headwind And then again, back to the awards discussion, the awards last year were weaker as you know, and so, that again, it takes at least a year for revenue from those awards to translate, so there is a little bit less. So I think it gives you a little bit more color on why the second quarter is maybe not as strong as you might have expected, why then is the second half and towards the end of the year was stronger, that's because the revenue synergies we talked about as the Next-Gen that we already now contracted for and is starting to produce revenue and some of the real world stuff that we are winning, all of that is expected to more than compensate for what would otherwise have not been – or would have been more in line with the second quarter. And also, it's not just IES, I mean I mentioned IES, but there is also the legacy or Encore for that matter. The other legacy commercial business from – what was the name of the – IHS was the name of the division, the commercial Quintiles. They have an advisory business there that's also not doing that great. So we're kind of working ourselves through all of that and that is basically why you see perhaps second quarter a little weaker, but we feel comfortable. Frankly, if we didn't see that, we would have changed the guidance on revenue but we have not, we feel very strongly because of the bookings because of what's in the pipeline and what we see coming. So despite all of that and FX and so on, we are comfortable maintaining – very comfortable maintaining the guidance for the year.
David Howard Windley - Jefferies LLC: So thank you for that. At the risk of taking another minute here, I – so the question I wanted to ask is more forward-looking and more relevant to Next-Gen CRO and that is that our recent research suggests that some pharma companies are bringing some business in-house. And in general, that just tells me that there is a level of, say, frustration or searching for alternative models, which actually makes Next-Gen CRO fairly timely. And I just wanted to get your sense of having talked to a bunch of clients, which I'm sure you have at this point and what level of...
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah.
David Howard Windley - Jefferies LLC: ...receptivity on that. Thanks.
Ari Bousbib - Quintiles IMS Holdings, Inc.: Dave, I think – thank you for that question. I've heard that from others. Nobody decides. I've run a lot of different companies, nobody said I'm going to in-source or I'm going to outsource. That is not an end in of itself. The reason for outsourcing or in-sourcings are based on what is the lowest cost solution at the best quality and spec deliverable type criteria that I can get. If I can perform the works internally at a lower cost more effectively and within better timeframes and so on, then I'll do it inside, if not, I'll outsource. So, it's not outsourcing, in-sourcing. So this is what's driving, what is true is that pharma, and especially large pharma, are looking for solutions that enable them to perform the work at a lower cost and more effectively. That is the primary driver of those in-sourcing, outsourcing decisions. To the degree that they can do the work – look if all your selling is buddies that are going to run around and visit sites and audit and fill checklists, yeah, maybe it could be that is cheaper in-house. I mean it's not much of a benefit. Right? Because why would you give may margin. If it's a cost plus business, I do agree. But that is not what our value proposition is. We are trying to transition the business model precisely to be data, analytics, expertise and technology driven. And that is exactly our strategy. We're repositioning the business, and we believe we are in a unique position to do that. We have not seen that. I mean, some of the large pharmas specifically rumors to be stopping the outsourcing and bringing more work inside, are precisely some of the ones with whom we've won.
David Howard Windley - Jefferies LLC: Yeah. I would love it, if you could tell me who, but I know you can't. Thank you for the answer.
Ari Bousbib - Quintiles IMS Holdings, Inc.: Okay. Thanks, Dave. Next question please.
Operator: Thank you. So our next question comes from the line of Jack Meehan with Barclays. Please proceed with your question.
Jack Meehan - Barclays Capital, Inc.: Thanks. Good morning. And Ari, I also appreciate you're going off script. I was wondering if you could elaborate a little bit more on the new business wins, specifically at success at expanding the pool of awards with some of the smaller trial activity?
Ari Bousbib - Quintiles IMS Holdings, Inc.: With emerging biopharma and smaller trials, yes. I mean, again following up also on Dave's question, in terms of outsourcing, certainly. Smaller pharma and midsize biotech, it's very hard to do it in-house, so, it's a non-starter. And as you know, they represented at this point in time a growing part of the pipeline. And so, again, there's no in-sourcing there. Historically, emerging biotech has been rather reluctant to partner with larger CROs, because they require a high-tech solution, and we perhaps were not as effective in providing that solution. As you know, Richard Staub, who runs our R&D business, was – before he joined Quintiles three years ago, was the CEO of Novella, which was a small CRO that's precisely worked with many emerging biotech clients. He's brought this approach to Quintiles and developing a specific set of offerings and capabilities that are targeted to small biotech and we are making inroads and being more aggressive commercially and in terms of the offering with biotech. Again, EBP requires a different set of capabilities, more customization. That could mean for a company like Quintiles higher cost, if we were not developing a separate solution, but we are now running these separately, as two separate offerings, obviously leveraging the capabilities that we are able to offer more flexible and, therefore, more attractive commercially value propositions for smaller biotech and we're making significant inroads and, frankly, displacing some of the smaller guys who had been serving that market.
Jack Meehan - Barclays Capital, Inc.: Great. That's helpful. And then just one on the model, I know the overall guidance for the year unchanged, except for EPS. Can you maybe just talk about some of the underlying segment revenue for the year? Do you feel better at one end of the range for the previous guidance that you gave for the segments?
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah. There is no change there. Again, there could be fluctuations. We are a large company and even within those segments, there are a lot of moving parts. But generally, the guidance we provided earlier is the same. Okay, I think we provide the ranges for each segment and we feel comfortable within those segments.
Jack Meehan - Barclays Capital, Inc.: Great. Thank you.
Operator: And our next question comes from the line of John Kreger with William Blair. Your line is open. Please go, ahead.
John C. Kreger - William Blair & Co. LLC: Hi. Thanks very much. All right. Could you maybe just give us an update on where kind of the Next-Gen CRO rollout stands? Have you automated the various data streams? And when do you think you can sort of take this out broadly to clients?
Ari Bousbib - Quintiles IMS Holdings, Inc.: We are making very good progress as noted, we haven't been waiting for that to – for that full industrialization, if you will, to go to market, and we're making good progress. We said towards the later part of this year and that's still the schedule. But we are accelerating a little bit. Frankly, we are spending a little bit more than we thought in ramping up the capabilities. We are hiring more people. We've built a dedicated Analytics Center of Excellence that is quickly ramping up with data scientists and epidemiologists, et cetera, to do this – to continue to take this across therapies. And I think we're making very good progress.
John C. Kreger - William Blair & Co. LLC: Excellent. Thank you. And then, maybe turning back to the legacy IMS business, you used to talk about, how your kind of traditional data business is doing versus the technology services business. Any update there that you can provide? And is the merger impacting that, that legacy IMS business at all one way or another?
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah. Again, we don't segment the business like this anymore, because we've re-organized our business internally and so on. But essentially, the LTMs in many cases, the business like in the technology services side or specifically in real-world evidence, we've merged the businesses, so it's hard even now to look at what is the growth of the legacy IMS real-world business versus the growth of the Quintiles legacy real-world business. But based on what we see, to give you an example, it's very similar to what you've seen before, okay. Again, the engine for (44:13) business traditionally is a flat business, very low single-digits. And the – what we used to called Technology Services business was low double-digits. And essentially, we've seen the same thing minus the drag of the less performing – the lower performance inherited Quintiles businesses mainly the Advisory business, Encore and also to a degree, like for example, I know specifically that the real-world business, which of IMS had been growing in the mid-teens is still growing in the teens, but lower mid-teens and I know because I specifically look at that and had a specific review on it. And the reason for that is that the Quintiles legacy real-world business was growing at a lower rate. So, we're confident we're going to – once we integrate and then so on, we're going to continue to accelerate that growth, but it did reduce our growth rates in the – what we used to call Tech Services business somewhat.
John C. Kreger - William Blair & Co. LLC: That's helpful. Thank you.
Operator: And our next question comes from the line of Derik de Bruin with Bank of America Merrill Lynch. Your line is open. Please go ahead.
Derik de Bruin - Bank of America Merrill Lynch: Hi. Good morning.
Ari Bousbib - Quintiles IMS Holdings, Inc.: Good morning.
Derik de Bruin - Bank of America Merrill Lynch: Good morning. So I'm just sort of curious on some of the moving parts in the model, so both the legacy Quintiles and the legacy IMS businesses were sort of low 20%s SG&A, company's SG&A has sort of spiked. Can you sort of give us an update on the cost synergy targets and what's going on in terms of that and I guess why we're sort of seeing the spike relative to the historicals on the SG&A?
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Yeah. Derik, it's Mike. The most important takeaway here is that we remain very confident in the synergy targets that we talked about, back when we announced the merger and we obviously increased the cost synergy target from $100 million to $200 million exiting 2019. We still feel very comfortable with that and we continue to track towards that very well. We are making investments in the business overall. And I think that when you look at our performance and our margins, we're actually seeing a little bit of an uptick in our R&D business and Commercial. We're making some investments there. We have the Salesforce.com platform that's very important. We're spending some money there and investing. But overall, we're on a good trajectory and we feel like the synergies are coming together very nicely.
Derik de Bruin - Bank of America Merrill Lynch: Great. And I guess, can you sort of give us just some basic inputs for the model like D&A for the year, depreciation and amortization for the year? Net expense or (47:15) what's embedded into your guide?
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Yeah. So, the D&A is – our capital intensity is as you know is very low. It came in at exactly 4% for the quarter which is in line with the intensity we see. It was kind of 5% to 6% legacy I and 1% or 2% legacy Q, comes together about 4%. D&A, I think for the next few years is probably about $1 billion a year, but the important takeaway there is that the majority of that relates to purchase price amortization, and we don't include that obviously and it would be adjusted.
Derik de Bruin - Bank of America Merrill Lynch: Yeah.
Michael R. McDonnell - Quintiles IMS Holdings, Inc.: Next up the operational depreciation is very modest, it's about $50 million per quarter that is. So, that's the operational fees, continues to be not at all a capital intensive business, and that's how we see it, as it relates to the EPS which is I think is part of your question.
Derik de Bruin - Bank of America Merrill Lynch: Great. Yeah. And I guess just one thing going back to like the operating margin numbers and sort of thinking about that, it's like when you sort of look at that, say you go through a period of investment this year, and you'll get the cost synergies, it's like what can we sort of think about for annual op margin expansion opportunities sort of beyond 2017?
Ari Bousbib - Quintiles IMS Holdings, Inc.: Well, as you know, we've said that it's always good to manage revenue and costs at the same time. So, we are counting on margin expansion year-over-year. Obviously, when you have a merger like this, things tend to happen. You've got higher costs that are not necessarily adjustable that relate to achieving the synergies in the first year and that's what's happening this year. We have costs associated sometimes we have to keep two systems running at the same time before we can shut that one down, et cetera. And that kind of can last a year or so. There are some merger-related costs that we have to carry especially in the first half of the year and that cannot be added back to our non-GAAP results. And the other element here that's – this year especially is that again we spoke a little bit earlier about our investments in the Next-Gen solution and we are making a lot of investments there in the data, technology, people to accelerate that development and that perhaps is a little bit more and we are accelerating that. On the Commercial Solutions side, we announced this deal with Salesforce.com, and we're very excited about that. And that obviously requires us to make some investments to transition the applications to the new platform over time. And that also is an investment we're making in the business for the long term. So, despite all of that we think our margin, reported margin, this quarter was basically flattish and the reason we are reporting that even though we are having all these extra costs and investments that I just talked about is because we continue to underline in the businesses, continue to do – improve our competiveness and cost position, plus we have the synergies that would be rolling later on, not yet, but certainly beginning in 2018 in a significant way. So, underlying the business, the cost reductions are continuing, but we also have added costs that I just described, which are reinvestments in the business. So despite all of that, our margins are okay. I think we should be much higher. I mean on the R&D side – also I mean you have – we noted that there's a mix issue, the IES business has very low margins and continues to be a drag obviously and some quarters could be a little bit higher. So, it has a negative impact on margin. So, again a lot of moving parts, but in aggregate, we try – we're going to be managing (51:48) margins in a way that will seek expansion. We believe that there is significant operational improvements that can be made within the R&D business. And we're actually seeing some of that already. And that kind of offsets some of the investments we're making in Next-Gen and others for now.
Derik de Bruin - Bank of America Merrill Lynch: Great. Thanks.
Andrew Markwick - Quintiles IMS Holdings, Inc.: And we have time for one more question, operator.
Operator: Thank you, sir. And our question comes from the line of Tycho Peterson with JPMorgan. Your line is open. Please go ahead.
Tycho W. Peterson - JPMorgan Securities LLC: Hey. Thanks. Maybe following up on some of the commentary earlier on midcap biotech. As you push further into that market, obviously, we've been hearing some anecdotal data points from some of the peers on funding issues, reprioritization of pipelines and other dynamics. Are you starting to see any of these surface as you push more into this midcap biotech?
Ari Bousbib - Quintiles IMS Holdings, Inc.: Not really. Are you talking about cancellations you mean or...?
Tycho W. Peterson - JPMorgan Securities LLC: Yeah. I mean just talked about...
Ari Bousbib - Quintiles IMS Holdings, Inc.: Yeah.
Tycho W. Peterson - JPMorgan Securities LLC: ...private funding weakness, INCR had delays and other dynamics. Those and other issues. So, I'm just wondering (52:58)
Ari Bousbib - Quintiles IMS Holdings, Inc.: No, not really. We haven't seen any, the answer is no. We've seen that, but that's not unusual, nothing unusual versus what the company had experienced historically, nothing unusual, no trend breaking events.
Tycho W. Peterson - JPMorgan Securities LLC: And then, I guess as we think about backlog conversion, obviously trial complexity is not new, but how are you thinking about backlog conversion dynamics going forward? Do you see further elongation of conversion?
Ari Bousbib - Quintiles IMS Holdings, Inc.: Again, I would look at this over a long time period. It's a little hard to look at it quarter-by-quarter and try to make – again, it is quarterly focused, I know it is what it is. Given the nature of the business, it's such a long-cycle business that burn rates can fluctuate because of a number of reasons. If you win a large multi-year study, then by definition the burn rate is going to go down. If you win more SSP work, relative to the rest, then the burn rate is going to go down, because depending on the length of the contract. If you have a very strong bookings quarter, again, it's going to cause the next quarter burn rate to go down. So that – it's hard to tell. Really ideally you should take a look at specific projects and specific trials, and see whether revenue associated with the trial is faster overall than it would have been otherwise. So it's hard to compare. It's such a complex business with so many moving parts. Some have a metric and can look good, and in fact, that not necessarily indicate goodness or metric can look bad, and it doesn't necessarily indicate badness. So if you ask us – if you ask me operationally, of course, we are focusing on accelerating revenue burn, and we want to do this through systematic changes in the way we do business. Again using more data, analytics and technology, less quarter-on-quarter trial and error experience based sight identification and patients targeting type of approach. And we believe that by doing that we will accelerate revenue burn for individual trials that are using Next-Gen. And I did mention some detail on recently one such project, where again we are able to accelerate timelines quite dramatically and obviously the associated revenue will come in faster.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And then just one last one on the commercial salesforce, IES was flat this quarter. It was down 8% last quarter. Is this signs of stabilization? In other words, are your reps starting to differentiate the offering by leveraging real-time IMS data?
Ari Bousbib - Quintiles IMS Holdings, Inc.: No. There is such a fluctuation and lumpiness in this business, it's hard to say that it has fairly stabilized. Look, it declined – if you go back, the business grew nicely in 2015 and then it declined a lot in 2016. Q1 was flattish I would say, and I think we expect that this year to be the same, flattish, maybe slightly negative, that's our expectation.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. Thank you.
Andrew Markwick - Quintiles IMS Holdings, Inc.: Okay . I think that's all we've got time for, we've just come up on the hour. So thank you for taking the time to join us today and we look forward to speaking with you all again on our second quarter 2017 earnings call. Matt Pfister and I will be available after this call to take up any follow-up questions you might have. Thank you very much.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines.